Takuya Nakata: This is Nakata, the President of Yamaha Corporation. Thank you very much for sparing your precious time today to attend our results briefing. I would also like to extend my deepest appreciation to your continued support. Now, I'd like to start a briefing on the full-year results of FY March 2023. I'd like to explain using the presentation slides. So please turn to Page 1 for the highlights. Throughout FY March 2023, we achieved a year-on-year increase in both the revenue and profits. The revenue was impacted by the semiconductor procurement difficulties, the decreased demand for entry-level models, and the turmoil caused by COVID cases in China. But it increased, due to the price optimization and the depreciation of the Japanese yen. The core operating profit was also affected by various cost rise, but it increased due to the price optimization in addition to the exchange rate impact. As for the outlook for FY March 2024, while taking into account various uncertainties, we are expecting a good market recovery in Europe and China, where we struggled very much in the previous year, as well as the easing of supply shortages. We therefore forecast both the revenue and profit to increase year-on-year. Along with the increased revenue, we are expecting to achieve a record-high core operating profit. Accordingly, we are planning to provide ¥74 dividend per share. Now let me explain further details of the performance. Page 3 shows the results of FY March 2023, and as you see, we achieved increase in both the revenue and profits. However, when the exchange rate impact was excluded, the revenue growth was almost flat. The next page shows the core operating profit analysis. In a year-on-year comparison, the impact of exchange rates and the increase in sales and production, model mix, and price optimization contributed positively, but on the other hand, the increase of various costs were substantial at nearly ¥8 billion in total. In fact, we barely managed to offset the cost increase, by the favorable exchange rates and price optimization and achieved the year-on-year increase of the profit.  Moreover, in a comparison against the previous projection, which was ¥48 billion, the SG&A turned out to be higher by about ¥2 billion, so that pushed down the profit. The revenue and gross profit were almost inline with our forecast, but the SG&A was a bit higher than we thought. This is mostly due to the expenses relating to the acquisition of Cordoba and the raise of salary and eligible month for the bonus. The next page shows the results of each business segment. And the musical instruments achieve the results that you see here. Most of all, the piano business in China struggles severely and that affected the overall performance of the Musical Instrument segment. Meanwhile, in the Audio Equipment segment, the semiconductor supply shortage issue was mitigated very much and that led to the increase in both the revenue and profit. The Industrial Machinery and Components, IMC business and others enjoy the good business expansion of electronic devices and a remarkable growth of golf products. So, the results were great.  Next, I'd like to explain the outlook for FY March, 2024. The revenue is projected to increase by 4.1% or ¥18.6 billion year on year. The core operating profit is expected to improve dramatically by ¥10.1 billion to ¥56 billion. The net profit after all the P&L calculations is expected to be ¥42 billion. The exchange rate assumptions are as shown here at the bottom. One US dollar is estimated to be ¥130 with a yen slightly appreciated, and one euro is estimated to be ¥140, which is about the same as the previous year.  The next page shows the core operating profit analysis of the forecast. As you can see here, we're continually forcing negative impacts from the rising labor cost as well as the energy prices and procurement cost. So, such factors are included in the forecast. However, they will seemingly be offset by the ocean freight charge improvement, and in fact, the cost increase will be actually offset by the continued price optimization.  The decline in ocean freight charges will certain help us, but SG&A expenses will be heavy on the other hand, mainly due to the normalization of business activities and the investments in digital transformation, we are planning to spend ¥5.7 billion. So, the SG&A will push down the profit. And by the way, this is also including the SG&A of Cordoba. Yet in the end, since the increase in sales and production will give us much higher marginal profit, the cooperating profit will rise to ¥56 billion.  The breakdown of the forecast by each business segment is shown in the next page. The musical instruments and audio equipment are expected to achieve increase in the revenue and profits. As for IMC business and others, since the golf products achieved extraordinary growth in the previous year and it peaked out, we are projecting a slight decline in the revenue and profit. Still, yet, the cooperating profit ratio will be continually higher than 10%.  From here on, I'd like to give you the details of each business segment, starting from the musical instrument segment. As you can see here, in FY March, 2023, the piano business in China suffered from a great damage due to the COVID-related lockdowns, and that affected the overall segment performances.  On the other hand, the wind strings and percussion instruments performed very well, especially in North America, and it had offset some of the negatives. As for this fiscal year, we are expecting a good recovery in China. As you can see from the figures shown here.  To elaborate a bit more as shown here, the pianos struggled very much and declined 16% year on year. Meanwhile, the wind string and percussion instruments grew 23% and enjoyed a great profit improvement. The original breakdown is shown on the next page. In FY March, 2023, the sales in North America grew very well, while Europe and China struggled. especially in China, the cells dropped 20% year-on-year, and namely the piano cells dropped more than 30% due to the dramatically declined demand. However, this fiscal year, we are expecting good recovery in both Europe and China, so that year-on-year growth will be greater than the rest of the world.  Moreover, the other regions achieved 3% growth in FY March, 2023, but this included Russia. So, if you excluded Russia, the growth rate was actually double-digit. This fiscal year, we are continually expecting high growth of 8%. The next is audio equipment segment. The impact of semiconductor procurement difficulties was eased by the second half of the last fiscal year, and especially the recovery in the PA equipment drove the overall segment improvement. On the other hand, the AV products continually face the semiconductor supply issue and saw sluggish sales of entry-level models. So, the revenue declined sharply.  The ICT revenue increased significantly due to the strong sales of network devices. Consequently, the core operating profit recovered from the bottom that was marked in FY March, 2022. In FY March, 2024, since the PA equipment and ICT equipment that are highly profitable are likely to grow well, we can expect further drastic growth of the profit.  Per measure product category, the deeply struggling AV products dropped 18% year-on-year. Meanwhile, the PA equipment and the ICT equipment grew steadily.  Now, there's one thing to note about this audio equipment segment. Starting from this fiscal year, we decided to change the segment breakdown. Instead of the AV products, PA equipment, and ICT equipment, we are going to reorganize the segment into two sub-segments, consumer products, and B2B products. The biggest change will be in the PA equipment, which will be split into consumer products and B2B products. There are further minor rearrangements in the new segmentation, but the key point is the PA splitting into two.  So, this fiscal year's forecast is divided into the consumer products and the B2B products. And the sales growth of consumer products is expected to be great because there was a big drop in the previous year and it'll recover.  On the other hand, the B2B products growth may seem to slow down, but that is because the business had achieved great sales growth in the previous year, and we are expecting good performances to continue. As for the regional breakdown, the audio equipment in FY March, 2023 saw a big drop in China year-on-year. North America and Europe also achieved slightly negative growth. However, this fiscal year, we are expecting recovery in all of these regions.  Next, regarding the revenue of the IMC business and the other segment, with the increased adoption of automotive sound systems by automakers, the sales of electronic devices increased. Moreover, the golf product sales rose significantly. As for this fiscal year's forecast, the revenue growth seems to be flat, but that is because the golf product's special demand has peaked out, and we expect the sales to decline. In the meantime, we are expecting further expansion of automotive sound systems. That was all for the performances of each business segment. And now I'd like to refer to the other financial figures. Here is the balance sheet. As of the end of March 2023, the balance of cash and cash equivalents, dropped very much year-on-year. This is partially because the inventory increased, and also because we paid the corporate tax for the proceeds from selling Yamaha Motor shares. On the other hand, the inventories increased. This is a continued challenge for us, and we would like to lower the balance throughout this fiscal year. As for the capital expenditure, it was ¥20.5 billion in FY March 2023. This is because we minimized the CapEx under the pandemic in FY March 2022. We went back to spending a bit more. In fact, we are going to invest even more in FY March 2024, because there are many areas that requires the expenditure, including the headquarter building in Japan and the office in the Greater Tokyo area that will start the operations, but this will only be a one-off increase of CapEx. Meanwhile, the R&D expenses have stayed and will stay around the same level as usual years. Now in the current mid-term plan, we have laid great emphasis on the non-financial targets as well. So, let me touch on the progress. The non-financial targets are set to further strengthen the business foundation, set sustainability as a source of value, and enable Yamaha colleagues to be more valued, more engaged, and more committed. Under these three pillars, respective themes are set specifically with these nine indicators.  To strengthen the business foundation, we have an indicator to connect more with the customers. To this end, we nearly launched Yamaha Music ID and set the mid-term target to achieve ¥5 million Ids. During the first year, we already achieved half of the target, which was a remarkable progress. The launch of new cost at products are also progressing well inline with the plan. On the other hand, the development of production infrastructure had been affected by the prolonged COVID impact in China, and due to various restrictions, we are still far from the target. Still yet we made some progress. As for the sustainability efforts, in fact, we have made greater progress in some of the areas, but the sustainable timber usage ratio was affected by the change in the model mix. So, we have not achieved much numerical results to mention yet. However, the initiatives to realize the greater usage are in place and making steady progress.  As for enabling of Yamaha colleagues, we have already achieved the target for the female manager ratio. Meanwhile, although the initiatives to improve the indicators, where job satisfaction and workplace environment are carried out, it seems to require a bit more time until the improvements are clearly reflected in the survey results. Further details of achievements are shown on the following pages, when you have a time later, please check them out. In addition to the summary of each topic, we have also included the URL links to access the detailed information. The next page shows some of the new products that we launched. It is similar for the sustainability initiatives, and we are making a steady progress. We're especially keen about promoting instrumental music education in emerging countries and have made a remarkable progress for exceeding the plan.  This is the final theme to enable Yamaha colleagues to be more engaged. Regarding the financial targets, the achievements in the first year of the midterm was not exactly satisfactory for us, but we would like to steer and strive harder throughout this fiscal year and on to achieve the target KPIs without fail.  As for the external evaluation, Yamaha has been selected for all six ESG indices for Japan equities adopted by the GPIF. We were also chosen, once again as one of the best Japan brands. We were ranked the 28th as we did in the previous year, and the brand value grew by 11% year on year.  Finally, regarding the shareholder returns, as I said earlier since our revenues are expected to rise, we are planning to provide ¥74 dividend per share this fiscal year. When we realize the planned profit, the payout ratio will be about 30% as the target total return ratio for accumulated three years is 50%. We started to buy back our shares from the previous fiscal year, and it'll hopefully be completed by the end of the first half of this fiscal year.  On the final page of the appendix, we describe the details of the sub-segment changes in the audio equipment segment that I mentioned earlier, along with the diagram. I hope this will facilitate your understanding. That is all from myself on the explanation of the results and the forecast.  Thank you very much.
End of Q&A: